Operator: Greetings and welcome to Easterly Government Properties First Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Lindsay Winterhalter, Vice President, Investor Relations for Easterly Government Properties. Thank you. You may begin.
Lindsay Winterhalter: Good morning. Before the call begins, please note the use of forward-looking statements by the Company on this conference call. Statements made on this call may include statements which are not historical facts and are considered forward-looking. The Company intends these forward-looking statements to be covered by the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Act Reform of 1995, and is making the statement for the purpose of complying with those Safe Harbor provisions. Although, the Company believes that its plans, intentions, expectations, strategies and prospects as reflected in or suggested by those forward-looking statements are reasonable, it can give no assurance that these plans, intentions, expectations or strategies will be attained or achieved. Furthermore, actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the Company’s control, including without limitation, those contained in Item 1A, Risk Factors, of its Annual Report on Form 10-K for the year ended December 31, 2017, filed with SEC on March 1, 2018 and in its other SEC filings. The Company assumes no obligations to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, on this conference call, the Company may refer to certain non-GAAP financial measures, such as funds from operation and cash available for distribution. You can find a tabular reconciliation of these non-GAAP financial measures to the most comparable current GAAP numbers in the Company’s earnings release and separate supplemental information package on the Investor Relations page of the Company’s website at ir.Easterlyreit.com I would now like to turn the conference call over to Darrell Crate, Chairman of Easterly Government Properties.
Darrell Crate: Thank you, Lindsay. Good morning, everyone, and thank you for joining us for this first quarter conference call. Today, in addition to Lindsay, I’m joined by Bill Trimble, our CEO; and Meghan Baivier, our CFO and COO. Easterly remains the only public REIT dedicated to the acquisition, development and servicing of mission-critical real estate leased to United States Federal Government. Our strategy has remained consistent since IPO to apply our definable edge in the sourcing, underwriting, acquiring and servicing of mission-critical facilities leased to and backed by the full faith of the U.S. Government. We were to cultivate a robust pipeline and new assets with the goal of accretively scaling and diversifying our portfolio. Our predecessor company begins a private equity firm in 2010. From there, we built our enterprise while the economy was recovering from financial crisis. Government agencies were financially constrained and plans to expand and modernize were put on hold. In March of this year, we saw Congress pass an omnibus bill which authorized the federal government to increase discretionary spending to 1.3 trillion, the highest level in history. As we look out over the next five years, we believe increased spending will allow for many agencies that are not represented in our portfolio to finally commence re-missioning of their facilities, which provides a meaningful opportunity for Easterly. As you've heard us say, we seek to acquire assets that are young and on the right side of the fundamental re-missioning, not obsolete to be operational needs of the agency. We work to align our capital with agencies that are soundly remissioned and executing critical functions for the U.S. Government. This trend can also materially benefit our development efforts. As you've seen, we have been a partner with the FDA that they are in the early stages of the modernization program. We began with the lab in Alameda, California that we expect to come online in the second half of 2019. We won the bid for the lab in Lenexa, Kansas, which we expect will be delivered in the first half of 2020. It is clear that as we work with an agency, we can bring our learning of the agency's needs, taste, and preferences to the agency's next project which means increased efficiency for all the project partners. FDA is not unique but an example of how we are sharpening our edge to be the partner of choice for our tenant, the United States Government. In addition to development, we continue to build our reputation in the acquisition space. We’ve purchased 713 million of properties since the IPO, we’ve executed with speed and certainty. This has put us in an enviable position of seeing virtually every property that comes to market in our bull's-eye and provides us the opportunity to negotiate with each seller. In many instances, our reputation for execution has allowed us to win options when we’re not the highest bidder. We have competitive cost of capital but we will continue to not overpay. Many times you've heard us say, we do not want to be the elephant in the swimming pool that stating holds true today just as much as it did at the time of our IPO. Simply, we will not overpay for the sake of gaining scale. We’re a company based on the foundation of accretive acquisitions and opportunistic development. That being said, we are now in the fortunate position where we’re off the sale where we can responsibly consider the acquisition of large private portfolios at government-leased assets. We believe there are approximately 2 billion of these assets in portfolios where approximately 85% plus of the assets are squarely in our target bull's-eye. Given our cost of capital so as equity and debt, we believe we can win these assets and deliver accretion and diversity to our investors. We expect this opportunity to play out over the next five years as the demographic trends among the owners will likely cause them to evaluate their strategy for ownership of these assets. We cannot be more pleased in how we are positioned in our areas of growth. Our existing assets are young and aligned at our bull's-eye. Our edge and acquisition continues to improve and our ability to add value to the government and to our shareholders through development is expanding materially. With that, I'll turn the call to Bill to discuss the specifics of the quarter and to give an update on the projects we are engaged into build shareholder value.
Bill Trimble: Thanks, Darrell, and good morning. Thank you for joining us for our first quarter earnings call. To echo Darrell’s previous comments, 2018 is just getting started for Easterly. We maintain an actionable pipeline and are seeing high-quality opportunities, both portfolio and single asset transactions that are within our target market bull's-eye, which allows us to continue to grow our portfolio. We believe the recent uptick in interest rates and increased government spending will serve as a catalyst for significantly increased future acquisition opportunities, which we had anticipated. With this strong pipeline, we expect to deliver results through the acquisition and development of accretive mission-critical full opportunities. Further, our definable edge and the sourcing and underwriting of Class A mission-critical acquisitions is clear, as we engaged in meaningful lease renewable throughout the quarters and years. Because we adhered of our disciplined story, we are pleased to see how this strategy is proving itself for the renewals within the existing portfolio. As an example, we are gratify to see the FBI remains centered on continuing to serve the enduring mission of protecting American people when we expect to see in effect to the next 40 to 50 years. We are also extremely gratified to see our existing tenants consistently partnering with Easterly to ensure our facilities can continue to help the agencies stay relevant and the formation. During the deal specifics, Easterly is pleased to announce the agreement to acquire its third Outpatient Clinic leased to the Department of Veterans Affairs or VA located in San Jose, California. VA, San Jose is recently completed Outpatient Clinic that delivered in the first quarter of 2018. This state-of-the-art facility is leased to VA for initial non-cancelable least term of 20 years through February 2038. This facility will serve the surrounding veteran population by providing services like primary medical care, mental health care, women's health, audiology, speech pathology, podiatry, optometry and dermatology. The facility will also offer group classes and patient education space for the 67,000 enrolled veterans within the region. We expect of closing this deal in the coming weeks. With the acquisition, Easterly will own three new highly advanced Class A VA outpatient facilities totaling a combined 504,000 square feet of leased VA space, all backed by the full faith and credit of the U.S. Government. Turning to development as previously mentioned, Easterly has acquired the rights to lease award for the redevelopment of an approximately 210,000 square-foot Federal Emergency Management Agency or FEMA distribution center. One of the eight regional distribution centers strategically located throughout the country. Upon completion, a 20-year non-cancelable lease will commence with the general services administration for the beneficial use of FEMA. Further, in order to meet the growing operational requirements of FDA, Easterly has recently executed a lease amend with the GSA to expand the footprint of the FDA Lenexa laboratory, an additional 6,600 square feet of mechanical and office space has been added to accommodate increased operational demands within the building. Easterly welcomes the opportunity to build and deliver further enhanced space with GSA, which we expect will serve the needs of the FDA for decades to come. With FEMA, Tracy, and the enhanced FDA Lenexa footprint Easterly is now actively managing the development of approximately 340,000 square total feet. As an update, all three development projects are making meaningful progress. FDA Alameda, a state-of-the-art Class A laboratory and office space is currently under shell construction. At this time, anticipated lease commencement falls in the second half of 2019. FDA Lenexa is currently in the design process as we work with GSA and FDA to finalize drawings. At this time, shell construction has an anticipated start date of this spring planned lease commencement in the first half of 2020 and construction of the core shell building and site improvements are currently underway of FEMA Tracy with anticipated lease commencement date in the second half of 2018. As you can see, we're still very much underway on our three development projects. Expected spending is now estimated to be between 50 million and 75 million in total development expenditures this year. As you know, timing around projects can be a moving target as we work with GSA and underlying tenant agencies throughout the design process and we look forward to these projects coming online in late 2019 and 2020. With that, I now wish to revisit the 2018 pipeline. As I mentioned earlier, we are seeing a plethora of actionable acquisition opportunities, both as individual asset and portfolio purchases which we feel will drive significant earnings growth in the latter half of 2018. Our pipeline has never been more robust and for that reason we are once again increasing our total expected 2018 acquisition volume from $350 million to $450 million, but now heavily weighted towards the second half of this year. Megan will speak further in her portion of the call. The timing of the acquisitions is the primary driver of our modified 2018 full-year guidance. Part of what makes Easterly such an attractive buyer in the marketplace is our flexibility in closing. Sellers have many reasons for delay closing, ranging from states planning reasons to 1031 exchanges and Easterly has the death of capital to accommodate those reasons. This accommodation is part of our definable edge in this niche market place, which allows us to serve as an attractive buyer to the multitudinous of seller of these desirable assets leased to the U.S. Government. We’re very much targeting accretive acquisitions that will deliver meaningful scale of the Company in 2018 and expect to see an increased actionable pipeline to provide for that growth. With that, we thank you for your continued partnership as we continue what we believe will be an exciting year for Easterly. I will now turn the call over to Meghan for a discussion of the quarterly results and earnings guidance.
Meghan Baivier: Thank you, Bill. Today, I will review on our current portfolio, discuss our first quarter results, provide an update on the balance sheet and share our modified 2018 guidance. Additional details regarding our first quarter results can be found in the Company's first quarter earnings release and supplemental information package. As of March 31st, we have 46 operating properties comprising approximately 3.7 million square feet under ownership with an additional 334,000 square feet under development. The weighted average remaining lease term for our portfolio was 6.9 years. The average age of our portfolio was 12.3 years, and our portfolio occupancy remained at 100%. In addition 99% of our annualized lease income was backed by the full faith and credit of the United States Government. Pro forma for the acquisition of the recently announced VA San Jose, Easterly will own 47 operating properties comprising approximately 3.8 million square feet. The pro forma weighted average remaining lease term for our portfolio would be 7.2 years and the average age of our portfolio would be 12 years. For the first quarter, net income per share on a fully diluted basis was $0.03, FFO per share on a fully diluted basis was $0.31 FFO as adjusted per share on a fully diluted basis was $0.26, and our cash available for distribution was 11.9 million. GAAP measures and reconciliations of these non-measures to GAAP measures have been provided in our supplemental information package. Turning to the balance sheet, at quarter end the Company had total indebtedness of 577.9 million, which was comprised of 98.8 million outstanding on our unsecured revolving line of credit, 100 million outstanding on our unsecured term loan facility, 175 million of senior unsecured notes and 204.1 million of secured mortgage debt. Availability on our line of credit stood at 301.3 million. As of March 31, 2018, Easterly's net debt to total enterprise value was 33.7% and its net debt to annualized quarterly EBITDA ratio was 6.4 times. As previously announce last week, our Board of Directors declared a dividend related to our first quarter of operations of $0.26 per share. This dividend will be paid on June 28, 2018 to shareholders of record on June 11, 2018. For the 12 months ending December 31, 2018, the Company is modifying its guidance of FFO per share on a fully diluted basis to range of $1.27 to $1.31 to reflect the Company's target $450 of acquisition being waited towards the back half of the year. This guidance further assumes 50 to 75 million of development related investment during 2018. The Company's 2018 FFO guidance is forward-looking and reflects management view of current and future market conditions. The Company's acquisition pipeline remains as robust as ever and our revised FFO guidance reflects this. The Company expects to exit 2018 with greater scale and earnings potential than we entered year with and then our original guidance for 2018 reflected. Furthermore, in addition to our acquisition prospects, our in process development projects are expected to contribute meaningfully toward our 2019 and 2020 earnings growth. When we first came public, our promise was to deliver consistent acquisition volume quarter-to-quarter and we have delivered on that promise. We continue to execute on single asset transactions however, our business is bigger than this quarter to quarter pattern of execution. To be clear, our strategy is not shifted. The only change we have seen is the increase in opportunities to acquire assets in our bull's-eye due to the increased scale of the Company. Our insight portfolio supports the steady dividend and we remain excited by and focused on the opportunities which we believe will drive earnings and distributable cash flow in 2019 and 2020. With that, I will now turn the call back to the operator for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Manny Korchman of Citigroup. Please proceed with your question.
Jill Sawyer: It's Jill Sawyer here with Manny. With records level hovering around mid [indiscernible] and now the 450 million in acquisition guidance. Could you just run through your funding strategy in longer term balance sheet structure, potential appetite for larger equity issuance, partially considering the premium of the stocks trading now?
Meghan Baivier: Strategy with regard to the balance sheet hasn’t changed. We’re comfortable with leverage levels in the 6 to 7 times on an operating basis, and we have all of the tools in our toolkit with regard to financing our future growth. And so as we continue to grow, those are the guideposts within which we will operate.
Jill Sawyer: And you guys just mentioned that you’re playing and closing in the coming weeks on the VA Clinic, but could you give us more details on the price evolution of that?
Bill Trimble: It's Bill. That would be sort of in the $70 million range for that property and with the 20 years initial lease 100% occupied.
Operator: Thank you. Our next question comes from the line of Michael Lewis with SunTrust Robinson Humphrey. Please proceed with your question.
Michael Lewis: I believe your original acquisition guidance was 250 million, you took that up last quarter, you took it up another 100 million this quarter. It sounds like deals maybe you're taking a little bit longer and so in that environment, you might expect maybe some stuff spilled into 19, maybe you'd be taking that guidance down. So, could you talk about the rate at which you’re ahead in project acquisitions, potential acquisitions to the pipeline and kind you’re confidence in closing this much volume in 2018.
Bill Trimble: Thanks, Michael. Good morning. I would say that this is a lumpy business, we’ve been very -- I think very good, but also lucky in getting something almost every quarter since we started. As we got larger and obviously our cost of capital is very attractive, we are seeing larger opportunities. There are reasons that sellers have to move things around. We are confident; however, we would not be raising our numbers unless we thought that there was a good reason to do so. And so, we're not really looking at having to move anything in 2019 at this time.
Michael Lewis: Could you maybe also give a little more color on why the lower development spend this year I think about $25 million lower? I've heard in other sectors something about more competition for workers and projects taken longer to develop. Is it just a slower process? I don't think you move back the timeline on anything. So maybe you could just talk about what that spend is going to be a little lower?
Meghan Baivier: So that's the dynamic you speak up, no, it's is not quite the dynamic we work with. Most of the shift in timing is due to just a push out of the design phase of Alameda and Lenexa. And so in fact FEMA Tracy, if you look at our common stock last quarter to this quarter, it's actually been pulled forward. So, it's just a timing of investment that the projects are continued to grow and what we don’t spend in ’18 we move into 19.
Michael Lewis: And then lastly from me, do you guys expect it to and to be covered by cash flow this year? And you know I know the policy has kind of been to keep a tight payout ratio supported by the predictable nature of your cash flows, but it looks especially tight now up to the first quarter. Do you think about given yourself a little more cushion in the future and do think it's covered this year?
Meghan Baivier: Yes, Mike, we're confident in our dividend and we agree with you on the quality of these cash flows and the ability to sustain a higher ratio.
Darrell Crate: And Michael, this is Darrell. As we look to this buildings coming online in '19 and '20, and we look at the opportunity for acquisition but also the opportunity to partner with these agencies and great development, we feel very good about that FFO growth. And as we've said we want that cashless available for distribution, we want to pay out as much of that to investors as we can and we think our strategy and our portfolio allows for that to be case.
Operator: [Operator Instructions] Our next question comes from line of Michael Carroll with RBC Capital Markets.
Michael Carroll: Bill, can you talk a little bit about what' you are seeing in the acquisition market today? And out of that $400 million acquisition target that you laid out, is that largely comprised the portfolio deals and some of those deals are being delayed and that's the reason why the change in the guidance expectations?
Bill Trimble: Michael, I would say it's a blend of everything that we're seeing out there. We do see everything at this point as it becomes available, but I will say that I'm highly confident in that number at this point and I will also say that it will be accretive transactions and that they will all fit or certainly as super majority will fit into the bull's-eye.
Michael Carroll: Then how do you put together that $400 million target? Do you have deals that already identified that you think we will close or you just are working on a number of deals and you expect to close 50% of those by the end of the year?
Bill Trimble: Well, first and I'll take you all we've back up the 450 million, and secondly, I think that we are close to identify.
Michael Carroll: And all those deals are identified or they portfolio deals or individual deals or just the mix of both?
Bill Trimble: Michael, they are all of them that we were seeing everything out there and you could be assured that whatever we get, we will fit nicely into what we've been doing certainly since 2010 and will not be a surprised to the market.
Michael Carroll: And then the portfolio deals that you highlighted in your prepared remarks that you are kind of looking at right now. Do those usually come to the market? Or is this just the first time that you're able to think about and given your increased size?
Bill Trimble: Well, I think Michael what we've always -- we've mentioned when we went public, we have seen a number of opportunities in the market. And obviously, we are going to wait and find the ones that's fit within our very strict criteria and when they appear rather there is single, multiple or larger, we will act on them.
Darrell Crate: Michael, this is Darrell. Obviously, we're trying to communicate in our prepared remarks and we will say again and again is that we are -- our scale today is different than it was at the IPO. I mean that sounds so obvious, but we're seeing a benefits of it which is we can be working on these portfolios and the way to which they come into the Company, it does not put stress on our, on the -- it doesn’t materially change the portfolio, it just contributes nice growth. We are working on a couple of development projects, but we can do more and we're seeing the opportunity at each time that we are working with an agency and work with them again, we have greater clarity on the economics of our projects will we work and obviously that's all about reducing the risk. So and in our portfolios out there, we're again -- we mentioned the demographics of the owners it's not unreasonable to them to start thinking about, is this portfolio, what is their strategy for that portfolio. And so things are aligning very nicely for us which is the capital and the confidence that we received from investors, the quantum of properties and opportunities that are out there are our scale and our ability to execute.
Operator: Our next question comes from the line of Jon Petersen with Jefferies. Please proceed with your question.
Jon Petersen: Just kind curious on the built-to-suit side, if your how conversations have trended with the government, recently in kind of the near in your time dealing with the GSA, and maybe be just kind along those same lines, the government passed a budget few months ago, it's kind of the first time in a long time that they've done that. Are they getting easier to deal with? Is their better visibility for them in terms of their needs? Maybe just kind some high level comments on how some of those things have checked?
Bill Trimble: Jon, I would say that dealing with the government, obviously a very valuable partner to us, and I think we appreciate their important mission. But I would say that they don't necessarily have the ability to predict things that as long as maybe the private sector would be in some cases, but I think this budget did cement or was it they were able to focus on some of the things with backlog of opportunities and missions that they needed to get updated, and this goes back to 2010 basically. And so we believe, we’re going to start seeing whether it'd be additions to our existing buildings or whether it'd be new project that they think are extremely important. I think that’s going to put sort of a little bit of a win in our back in that area. With our existing properties, I mean that's a steady states sailing well, doing well, so that's really not going to change much except for those upgrades that we see. And obviously in the VA space that is a fully funded area that will continue to grow for the next five to ten years as they finish out the $62 billion program that they have announced.
Jon Petersen: Is there any rule of thumb to think about in terms of you know how long after budget been allocated until it flows over into the real estate world. Is it six month?
Bill Trimble: I would say longer than you could probably think. I think it would take longer. I mean from us it's more about just keeping positive pressure on the overall market that we’re in Wisconsin, but from that standpoint, it's just further good news that I think they were targeted on the right things and certainly within the mission-critical area. The government is making offers for stuff that they have intended to basically since 2008.
Operator: Thank you. Our next question comes from the line of Bill Crow with Raymond James. Please proceed with your question.
Bill Crow: My question is pretty simple. I am just curious whether you're seeing increased competition from private investors given some of the challenges we’re seeing in other sectors whether they are fundamental challenges or return challenges based on valuations? I am just curious whether people are turning more toward your government lease, the net lease structure?
Bill Trimble: Good morning, Bill. I would say that the answer certainly as you pointed at U.S and private side and it's important to point out there is nobody in the public side that we talk so with. In the standpoint of the private side, I would say that if we’re probably -- I feel that we will point away from most of those other players as our cost of capital is more attractive. I think the sellers appreciate what we can do that the level of underwritings that we understand exactly what their assets are worth, and they have the comfort to know that when we make the bid we’re been very serious on that. So, I would say that there are several private players at there we do see them, but I think we tend to beat them whether we're in an auction environment or whether we’re in a one-off environment and scales important as well. And I think we've gotten to a point that our scale is meaningful and allow us to basically transact more efficiently than anybody we're seeing in either market.
Bill Crow: Has this some of the new entrants have that -- hasn’t put pressure on yields at all?
Bill Trimble: We don’t have any new entrants in the -- no private new players, same old same old.
Bill Crow: But you are not seeing much impact on yields like if there is no, if the plain fields hasn’t changed, is that fair?
Bill Trimble: I think that's probably -- we are pretty much being in the steady state there right now.
Operator: Thank you. Mr. Crate, there are no further questions at this time. I’ll turn the floor back to you for any final comments.
Darrell Crate: Great, thank you everyone for joining the Easterly Government Properties' first quarter 2018 conference call. We appreciate your interest and support. And we look forward to speaking to you again soon as we continue in our effort to deliver strong compounding returns to shareholders going forward.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.